Operator: Good morning, my name is Regina and I will be your conference operator today. At this time I would like to welcome everyone to the Weatherford International Third Quarter 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) As a reminder ladies and gentlemen, today’s call is being recorded. Thank you. I would now like to turn the conference over to Mr. Bernard Duroc-Danner, Chairman, President and Chief Executive Officer. Sir, you may begin your conference.
Bernard Duroc-Danner: Thank you. Good morning everyone. As usual Andy will read his prepared comments and I will do the same. Andy, please.
Andrew Becnel: Good morning. Before moving on to our prepared comments on and Q&A, I would like to remind listeners that this call will contain forward-looking statements within the meaning of applicable securities laws, and will also include non-GAAP financial measures. A detailed disclaimer related to our forward-looking statements is included in our press release which has been filed with the SEC and is available on our website at weatherford.com or upon request. Similarly a reconciliation of excluded items and non-GAAP financial measures is also included in our press release and on our website. Moving on to our prepared comments. With the third quarter of 2011, we reported fully diluted non-GAAP EPS of $0.26 before excluded items, and fully diluted EPS of $0.25 on a GAAP basis. The non-GAAP results is a $0.09 improvement over the prior quarter and at the top end of our guidance. Items excluded were $ 7 million after tax or a penny made up of $6 million of after tax severance and exit charges and approximately $1 million of after tax expenses related to investigations. Sequentially the field accounted for the entire earnings uplift, growing the operating income line by $104 million or $0.10. The field contribution would have been $0.11 but for an $8 million, negative FX impact, we had to absorb from Barrett, as a result of their currency related book losses on their outstanding debts. Below the line cost were flat sequentially despite $20 million of our own FX losses due a strengthening of the US dollar. In total FX related book losses were $28 million for the quarter. In increase in effective tax rate which came in at 29.6% cost of penny compared to the prior quarter, primarily due to a change in mix where we generated income. On a consolidated basis, revenue increased $321 million sequentially or 10.5%. An advanced $843 million or 33% compared to Q3, 2010. Consolidated EBIT before Corporate and R&D was $525 million, with operating margins at 15.6%. This was a 180-basis point improvement compared to Q2. Incremental margins company-wide were 32.4%. Operating profit in North America improved $109 million sequentially as revenue grew 20.5% or $275million. Margins expanded 360-basis points to 21.7% on incrementals of 39%. This North American performance was partially offset by a $5 million retreat in operating income internationally. While Latin America delivered better than expected results, it was not enough to entirely offset the $8 million negative FX impact related to Barrett’s and declines in the Middle East, North Africa, Asia Pacific region. The strongest international region performance came from Latin America, where operating income advanced $20 million on $94 million of revenue growth. Mexico, Brazil and Venezuela all posted improvement while product line participation in the optic was widespread. Europe, Sub-Saharan Africa, FSU posted a relatively flat performance, excluding the negative $8 million FX impact from Barrett’s. Barrett’s has debt denominated US dollars on which they recorded a $20 million loss due to strengthening of the dollar against our functional currency, the ruble. We picked up approximately 40% of this book loss on our operating income results for the region. In the Middle East, North Africa, Asia Pacific region, revenue declined $45 million. The deconsolidation of three joint ventures in the region made up $25 million of the revenue decline. For the balance, Algeria declined due to the expiration of contracts, lower mobilization of equipment out of the country pending addition tenders weighed on margins, as did the negative swing in the rock profitability and continued operating losses in Libya. During Q3, we generated EBITDA of $713 million with D&A running at $288 million. This is the third highest quarterly EBITDA performance in our history. The only better quarters being in the second half of 2008. Capital expenditures were $349 million for the quarter net of $28 million of lost in whole revenue. Year-to-date capital expenditure were $1 billion, net of lost in whole revenue or 11% of annualized revenue. Net debt increased approximately $301 million this quarter to $7.3 billion. Operating working in capital metrics improved across the board with DSO’s dropping from 89 days in Q2 to 85 days at the end of Q3. DSI improved five days from last quarter to 82 days. Our internal targets for yearend remain at 78 days and sales outstanding and 73 days of sales and inventory. With respect to inventory, we believe that achieving our internal goal would be difficult given our strong market prognosis for 2012. However, we still expect progress on inventory metrics during Q4. Subject to the risks we’ve highlighted, we expect fourth quarter earnings per share of $0.30 to $0.34 before any excluded items, with profit growth in all our geographic regions. With that I will turn the call over the Bernard.
Bernard Duroc-Danner: Thank you. Q3 was a good quarter. Another step towards building an increase level of profitability. This is despite punitive foreign exchange book losses and disappointing performance ultimately. Quarterly revenues reach a new historical peak of $3.4 billion. Year-on-year revenue growth was 33% of sequential quarterly growth was 11%. This is achieved in spite the deconsolidation of three joint ventures which mechanically reduced Eastern Hemisphere revenue in the quarter by $25 million. Our prior prognosis was 25% top line growth 2011 on 2010 seems accurate. Gyrations and foreign exchange markets had distorting effects on earnings per share. Foreign exchange resulted in a punitive $0.03 penalty for Q3, on which $0.01 came out Barrett’s and therefore operating income in Russia. These losses are neither cash nor operating; they reflect intra-company mark-up or mark-downs or subsidiary balance sheets when converted from local currency into dollars. There is always some noise, positive or negative coming out foreign exchange book entries, this quarter the scale of impact is note worthy. The quarter was earned entirely in western hemisphere; both North America and Latin America perform very well. The US, Canada, Mexico, Brazil, Argentina, Venezuela all had strong quarters. The strongest product lines were artificial lift, completion and formation evaluation. The eastern hemisphere was flat for the Europe, Russia, FS8 segment while the operating income shows the declined adjusted for the $20 million foreign exchange book off Barrett’s detailed above, our operations recorded in fact a higher operating income driven by further strengthening of our Russian operations and profitability. MENA was squarely a meaner issue. The least profitability would have improved on prior quarter’s performance except for the following three items. One, startup costs related to new contracts in Saudi, Kuwait and Iraq were higher sequentially as those contracts approached commencement. Two, contracts in Algeria, we expected to be extended, were instead allowed to lapse. We demobilized equipment and people to Tunisia pending the outcome of new tenders. Three, in Iraq we incurred higher cost than expected, this is a combination of shut down costs on the completed contracts, higher idling cost in order to keep people in country for upcoming projects, and teething problems on recently started operations. I know it sounds like a lot, this has been a transitional period of MENA, we don’t expect these factors to weigh on the region for long, we expect ’12 to be a much better year for the region. Which brings me to ’12. What follows is a synthesis of how we see ’12 unfolding. We still have a positive outlook for North America is more measured. Assuming a flat US rig count from here, top line should drive modestly compared to 2011 exit rates. Margins should also continue to expand from the 31.7% Q3 levels. Canada should rise after years of lagging in the US. The expected market move is entirely oil based heavy oil into liquid shares. a. b. Co. while heavily Canadian in our [NAM] mix for legacy reasons. In the US, we see the oil and liquid segments strengthening further, making up for what will be a necessary pull back in gas and shell gas activity. Weatherford position strongly on and around oil segments. We expect our artificial lift, production optimization, formation evaluation and open hole completion production lines expiring in ’12 of margin and volume-wise and rise as a result of the region. These production optimization completions to pick a few are back-end weighted in both pricing and volume and the important reason behind our expected revenue and margins performance in ’12. We respect the stimulation in the US; we expect some weakness and perhaps a correction. These two is in part of withdrawal from gas and a migration to liquid planes which is disruptive process. Second and perhaps the biggest issue. The rate of capacity expansion which is itself a combination of low barriers to entry and high pricing with a promise of quick and exceptional return. Until and unless there’s a slowing of the capacity expansion rate, the prognosis or US stimulation isn’t as constructive. Stimulation is an important US product line as well and we are not therefore immune. But the other product lines in North America, overwhelms in size and contribution. In summary, we may be gently contrary in the assessment of our North American prospects, but we still expect a positive performance for our operations in both revenues and margins through 2012. This is a specific result of who we are and what we do. Latin America’s outlook is further strengthening in all of our key markets. We expect growth and further margin improvement in Colombia, Brazil and Argentina and Venezuela. Also Mexico should do better. We anticipate our Mexican business to materially improve offshore, in the South and finally in Chicontepec play itself. This is first time in some years where we can see a squarely constructive growth and profitability outlook for Mexico around the corner. In the eastern hemisphere, we expect a further strengthening of our European and Russian operations. Russia will build on and our predictable political environment; accelerating decline rates in traditional oil plays. Some fiscal incentives for exported oil and finally the emergence of a power-for-all re-entry play using multi-zone stimulation technology. European markets should benefit from well behaved 2012 North Sea which is traditionally a large market for us and emerging strength around our central and European region. This leaves me to MENA, which is the obvious turnaround. New contracts should drive towards profitability. The terms and pricing and substantially better than ’09, ‘10 contractual conditions, they are the ones that we’ve been talking about in detail. Two, completion of existing contracts that were signed up in ’09 and ’10, we were attempting to finish all significant all contractual commitments by Q2 of next year. And finally the reboot of North America both Libya and Algeria. But Libya is in on hold till now and is supposed to heavy losses. This would change when the process of reviewing and inspecting all of our operations will make the necessary repairs and preparations for return to operations. As we mentioned, Algeria has been very slow, that market is now loosening up, perhaps in sympathy with the resolution of Libyan civil war. It is also helpful that we’ve made good progress on the ground operations. It will take time, in the quarters ahead we expect both Libya and Algeria to improve markedly. As a synthesis, we are positive on our 2012 North America outlook, we are expecting international markets; we see a much stronger prognosis that is presently recognized in both hemispheres. Latin America should fairly obvious, eastern hemisphere has as you all know an equally positive prognosis. We suspect this will be credible in markets in Russia where we have demonstrated performance and capabilities after the effective integration of 2009 TNK acquisition. We would suggest MENA would have an equally constructive terms despite recent difficulties in that region, we are working diligently on returning MENA to the high profitability and performance it traditionally had on Weatherford, we expect it to be a question of time, discipline and focus. Translating top line into profitability we are planning on gradually higher in North American margins of Q4 and into ’12. Internationally we look for margin improvements in Q4 from Q3 levels and further strengthening in 2012 driven by the volume and pricing gains. There is macro economic risk, the many national imbalances are social instability and potentially economic reversal. It is obvious in equity valuations. Should the imbalances ultimately result in the significant deterioration of economic conditions, then our outlook will change. However, should the turn of events prove to be one of the economies, essentially muddling through, we feel our positive outlook will be correct. With that I will turn the call over to the operator for Q&A.
Operator: At this time I would like remind everyone (Operator instructions) your first question comes from the line of Jim Crandell with Dahlman Rose.
Jim Crandell - Dahlman Rose & Company: Thank you very much. Good morning, Bernard. I'd like the first question to talk about your guidance for the fourth quarter. It sounds as if, if you back out some of these issues that affected the third quarter, currency, tax rate were already into the low 30s and you seem to be forecasting improvement globally Q4, Q3. What am I missing in terms of the overall outlook?
Bernard Duroc-Danner: Well, I think we are being careful which historically probably would have been a good idea; I think we are just being careful now. It’s probably the entire explanation for our guidance.
Jim Crandell - Dahlman Rose & Company: I mean is there any region of your four major regions where you expect flat to down results in the fourth quarter?
Bernard Duroc-Danner: Well, you always have seasonality Jim, but on a structural basis meaning bad things happening? No. MENA is on the mend, MENA will take a few quarters. But I don’t think the results of MENA in future quarters will be lower than what has been in Q3. I think actually the opposite, but it will be on mend for a few quarters. Other than that, the answer is no, there is no -- other seasonality, there is structurally no reason.
Jim Crandell - Dahlman Rose & Company: It just seems to me that the number seems unusually conservative given everything that at least I know about the quarter. Secondly, Bernard, could you talk about when you see Saudi and Kuwait kicking in? And I would think that this would have a pretty significant effect on Weatherford when it does.
Bernard Duroc-Danner: And also Iraq. There is a lot of contracts that are under the radar screen in Iraq too, and other places throughout the Middle East which are smaller. I think Q1, Q2, some of them will be operating in Q4 already, but I think my experience with these contracts suggest that you will start having some benefits through the P&L certainly in Q1 and I will say Q2 will have just about the bulk of them will be my guess.
Jim Crandell - Dahlman Rose & Company: And in Iraq, Bernard, including Kurdistan roughly how many strings do have operating today and roughly how much of your revenue in Iraq is now tied to integrated contracts and how much is discrete products and services?
Bernard Duroc-Danner: It’s a good question. We only have nine strings in Iraq. We have not moved that up, but to answer your question, I would say this would be an educated guess. Approximately 60% of our work is not integrated project, but another way 40% of our work in Iraq is integrated project. Almost two-thirds of it is not at this point in time. That is in a process of -- actually a new station is taking place.
Jim Crandell - Dahlman Rose & Company: And the nine strings includes (inaudible)?
Bernard Duroc-Danner: Yes, they do.
Jim Crandell - Dahlman Rose & Company: Okay, good. Okay thank you.
Operator: The next question comes from the line of Ole Slorer with Morgan Stanley.
Ole Slorer - Morgan Stanley: Thank you very much. Andy, you ran through some FX numbers very quickly and I think I missed some of it. But what was the effect -- first of all, did all the FX numbers, were they included or excluded from your adjusted number of $0.26?
Andrew Becnel: All of them were included in the $0.26.
Ole Slorer - Morgan Stanley: And if we take -- and you mentioned something about Barrett's, and I didn't -- and the Russian currency exposure. I didn't quite catch it. Could you just read -- run through those numbers again?
Andrew Becnel: Yes. So during the quarter Barrett has outstanding debt and it’s denominated in US dollars, their functional currency is rubles. So on the weakening of the ruble against the dollar during the quarter, they had to record a loss, and the loss at the Barrett’s entity was $20 million. And as a 40% owner of that we pick up 40% of their results, we picked up $8 million of that 20 million loss in our operating income for the region.
Bernard Duroc-Danner: That is why early I mentioned that that half of this hemisphere, the operating income was actually up, not down because it took on $8 million worth of --we call it book losses because they are neither economically nor -- certainly cash-wise relevant. Up or down by the way, at times it could be up, up or down.
Ole Slorer - Morgan Stanley: So in other words, your underlying run rate in the Middle East -- sorry, in Europe, CAS, West Africa division was more like 16.1% rather than the 14.7%?
Bernard Duroc-Danner: That is correct. That is absolutely operationally correct, you add back the $8 million, that is – there is no -- it is what it is.
Ole Slorer - Morgan Stanley: And when we look into the fourth quarter, is there anything within the Middle East, Europe, West Africa which is developing adversely or is it all pulling in the right direction?
Bernard Duroc-Danner: Pulling in the right direction, seasonality is the only issue; seasonality is the generic thing for everyone.
Ole Slorer - Morgan Stanley: And seasonality in this case would be the Russian market or?
Bernard Duroc-Danner: Yeah, the Russian market although the real seasonality in Russia is Q1, the Q4 is half seasonality and other than that, that is sort of the only seasonality I can think of.
Ole Slorer - Morgan Stanley: So going back to the Middle East, clearly the 2.7% margin suggests that there are some deep holes, contracts that might be losing a little money or is it not reflecting in a more operating type level. So what does it take to get that back to the 12%-13% type or mid-teens type level? Can you give -- I don't care which number, but please could you give some indication of – once you get behind you what is obviously bleeding? And what is the underlying performance that you would see as more reflective of the current market conditions?
Bernard Duroc-Danner: Happily its not operational performance, if it was it would be a much harder nut to crack. It is a combination of what I read, really what it is, three things. We do have the bed in the roll contracts and some of them have been truly unprofitable as we bring them to an end, but it’s a fact of life. That’s one, the deep holes you are referring to is an issue, but then again that is going to be behind us soon. The second thing is the events that we detailed both in the Algerian and in Iraq which – let’s take Iraq first, just in-between contracts that is very inefficient and that doesn’t go on for terribly long. In Algeria, we have a context which is what it is, whereupon things that function for years and year have been not as functional in terms of decision making by the clients, it’s the same for everyone. It our turn to have contracts which normally were extended without any difficulties, quite a few actually, the client has different authority today and so goes with different process for these contracts until unfortunately by the time the envelop on our contracts was finished, there was no authority to keep the operations going and you don’t know this, but you can’t stay in country, in Algeria if you don’t have a contract, you have to leave the country with your equipment, I know it’s odd but it is what it is. And so we had to move our work over equipment, mine special drilling equipment called tubing equipment, it quite a bit, outside the country, the closest base where we can hold everything together with the intent of course either exporting it out of North Africa, we have need for that equipment elsewhere or waiting for the client in Algeria to go through the procedure to re-extend the contract for us to go back in. I would characterize that as an administrative glitch. It is what it is again. But all that together and we’ve had a terrible result in MENA period. That’s it.
Ole Slorer - Morgan Stanley: But, having just been to see the region, I mean it appeared to have quite a momentum in the revenue line based on relationship when it comes to your own rigs going in, from five to ten rigs in Saudi, I mean the momentum --.
Bernard Duroc-Danner: Yeah, directional, then in wire line, then in completion etcetera. Yes, that is the paradox. The paradox is that that region which was until about a year go, our very best region outside of North America, has fallen on hard financial times, partly mistakes were made undeniably which I take full responsibility. Partly simply it’s luck of a draw with the very North African. So there you are. I do think that if – as I said in my notes with time focus and discipline is all it takes. That region will go back to its former ways. We do have a lot of business booked. That is not an issue and happily as I said what has ailed us has not been today our operational performance. Having turned around our operational performance in some regions, it’s much harder enough to crack as I said. So all in I think – honest to goodness, is just a question time, this is why I sort of said viewing around Q2 or something like that for not only the new contracts to be beneficial as opposed to be hurtful, but also for former problems to be dealt with. What administrative problems or just the expiration of old contracts that were truly unfavorable and so forth.
Ole Slorer - Morgan Stanley: And in the fourth quarter to the first quarter, can you give some kind of an expectation for (multiple speakers) particular region?
Bernard Duroc-Danner: I think Andy will do this probably in the call that he does afterwards all around remodeling, but I will say this, what I think Andy will tell you however conservative he is, he will tell you that we do expect progression from Q3 to Q4 and from Q4 to Q1 in MENA. We do and so he will give you a bracket for that.
Ole Slorer - Morgan Stanley: Thank you.
Operator: Our next question comes from the line of Angie Sedita with UBS.
Angie Sedita – UBS: Great. Good morning guys. On Iraq, as was reported, you can tell me if it was correct or not, reported earlier this week that there was a $200 million award for Weatherford with Petronas in Iraq. If that’s the case could you give us some details and the timing of that project?
Bernard Duroc-Danner: Actually this is in – you have to be a bit careful, Angie, with news coming out of Iraq. This is about five, say six months old as a signed contract. I don’t know why there’s such a delay. We don’t report contracts. We don’t issue press releases and things like that. We haven’t in years, but Iraq does have an odd sense of timing. So Garraf, both in terms of – that’s one of the few integrated projects, new ones that we’ve taken on and then the contract you’re referring to which is on the production side of the business, they’re actually both quite, I’m happy to celebrate it but they’re quite old. Again they were signed I think in Q1 I think, late Q1 or something like that, Angie.
Angie Sedita – UBS: Well, okay, got it. Well that’s not surprising for the news sources that are out there. And then just to go along with that, with Iraq, obviously the profitability declined as you mentioned. Should we start to see new contracts well over in Q4? Is that more of a 2012 event?
Bernard Duroc-Danner: Actually it’s all of the above, Angie. I think the – our best sense and you understand this is not like a mathematical equation which has a precise answer. I think given where we are in the commencements of these various contracts and understand it’s not only in Kuwait, Saudi and Iraq too; it’s also other places like Oman etc. I think the – what will drive the margin back to a more reasonable level for that region; they used to have extremely high margins and will again one day, is simply the passing of time. So I think Q4 and Q1, they’ll start to have some benefits coming through. I sort of zero in on Q2 as being when just about the bulk of the first wave of what we’ve done will be through the P&L. And I could be a bit early, I could be a bit late, I don’t know, but that’s my best guess. But as Andy will try to do in offline when he goes through the model where you will get the sense of progression Q4 and in Q1 coming out of the Middle East. But it’s an operating guess.
Angie Sedita – UBS: Okay, very helpful. And finally, just quickly on the second quarter conference call you mentioned pricing strength and artificial lift and large pressure drilling in North America. Give us a little update there today on the status of the pricing within those product lines and has anything changed over the last couple of months or nothing at all?
Bernard Duroc-Danner: No. Pricing we have a very – good pricing trends and lift, NPD in completion also, information evaluation also. I’ve tried to single out as many of the product lines to which we have strength in North America and the ones I just mentioned lift pressure optimization, formation evaluation completion just to name the primary ones. All of them have pricing which will flow through the quarters ahead of us. Lift as I remember has something on the order of 10%-ish of pricing increases which will flow through, a little bit slow through this quarter, but you should expect much of it to flow through in Q4 and then in Q1 and thereon. Very, very strong momentum in those product lines in North America. It’s all oil based.
Angie Sedita – UBS: Great. Thanks, guys.
Operator: Your next question comes from the line of Brad Handler with Credit Suisse.
Brad Handler – Credit Suisse: Hi. Thanks guys. One of the questions on the revenue side, maybe I'll ask you a couple related to your cost side in the Eastern Hemisphere. Mr. Fontana being in place is maybe something that we've focused on as driving efficiencies and the like. Can you give us some examples of some of what you all have been doing on the efficiency side of the equation? Maybe it's about how regional centers are organized or some other cost savings type measures that help point us towards margin improvement as well?
Bernard Duroc-Danner: Brad, because we’re growing the top line by about 25% per annum, this is ‘10 and ‘11 and the prognosis on the international side is for if anything, similar growth or possibly stronger. Much of the focus of Peter and his team has been on managing the growth efficiently. So it’s not so much a question of my telling you we took out umpteen people in this place and in that place. There’s far more on the one hand upgrading the quality of the people and the processes and the training and the manner in which we deliver our products and services to the field. We’re seeking to have the highest quality delivery possible. That’s one, but two is also the numerator, denominator relationship between the growth on the one hand and the quantity people employed on the other, meaning how efficient are we going to be in terms of the number of people we’re going to use to fund the growth. That’s why you’ll find Peter and his team’s contribution. Let’s also remember that Peter is not new at his job. Put it another way, he ran the Western Hemisphere for Weatherford quite some time and so a lot of the – although the project that we got involved with in the Western Hemisphere, the much maligned Chicontepec Mexico project, not very popular in Wall Street. The one thing that Wall Street has always missed there is that we did manage to run 43 strings very efficiently in that project very quickly is entirely to his credit. The only reason the project failed and you learned to hate it is simply because the clients pulled the plugs on it.
Brad Handler – Credit Suisse: I understand your answer, absolutely. Maybe give us just a little bit more in terms of that notion of efficiency. I mean, I know it's hard because we're dealing with a lot of countries; we're dealing with a lot of different issues. But is there – can we think of it in terms of striving toward more just in time, for example, or is it purely about man hours that you can somehow work down on a given project and that's part of the (inaudible).
Bernard Duroc-Danner: Actually, Brad, you don’t me actually to answer that question. You answered it yourself. That’s actually – you have the two answers which I was going to give you. One is productivity and we are striving to measure delivery of products and services in terms of man hours and precisely with delivery, but it’s also we have one more metrics on around quality as perceived by the client, which is not something that has very much to do with man hours. It has to do with number of rejects, number of problems that we may have by product line, by location and so forth and so on, these sorts of things. The other thing also that we are striving to measure and enforce through our culture is the notion indeed of just in time. Now, you hear about it because we try to manage the growth and lower capital intensity which will come through in our numbers and we dutifully report DSIs and DSOs, DSIs being the more relevant point here, because DSIs coming down which is the inventory, less inventory intensive and we have ways to go, may also come at a cost of delays in delivery of services and products if you think about it. We try to do the opposite and I think we can, which is lower DSIs, therefore lower intensity of capital, but at the same time, faster delivery. So the big supply chain work which is underway here, those are the underpinning of sort of the cost issue.
Brad Handler – Credit Suisse: Got it, that's helpful, thanks. I'll turn it back.
Operator: Your next question comes from the line of Bill Herbert with Simmons & Company.
Bill Herbert – Simmons & Company: Thanks. Good morning. Yes, so Bernard and Andy, trying to understand a little bit better the margin insulation in North America in light of your I think fairly balanced comments on pressure pumping, and heard you on the pricing increases for lift, so that helps. I assume that most of that's gross as opposed to net pricing, Andy?
Andrew Becnel: That’s correct.
Bill Herbert – Simmons & Company: So then – so you're offsetting cost inflation on your largest PSL in North America. Remind us what percentage of your EBIT today out of North America is coming from frac?
Bernard Duroc-Danner: I'm going to answer, I think Andy you’re going to correct, between 15% and 20%? 15 and 20, something like that, Bill.
Andrew Becnel: A good estimate.
Bill Herbert – Simmons & Company: Okay, well that explains it. So it's a lot smaller percentage than some may appreciate. Okay, and then secondly, with regard to switching hemispheres here for a second. Apart from the FX issue, Bernard, we haven't really talked that much about Russia and two questions on that front. One with regard to the third-quarter results. Surprised we didn't show a little bit more vigor on the revenue side given the positive seasonality in Northern Europe and Russia that typically unfolds. And then secondly, can you walk us through a road map for Russia over the course of 2012?
Bernard Duroc-Danner: The only reason you didn’t see – adding back the $8 million of Barrett’s, fine. Didn’t see that particular region starter numbers is simple. Remember that it’s not Russia. It’s Russia with SSA and the European market. SSA and the European markets are primarily SSA have a down quarter Q2 and Q3, for no other reason than traditionally we hear so often from companies, is you had a bunch of products that didn’t make it that will be in Q4. That made a big difference. So that’s essentially it. So if you’re isolating the Russian numbers by themselves, they are the unsung heroes here because they got masked if you will, both by the Barrett’s thing which is – it is what it is. I think we’ve complained enough about it, but also simply by the lack of the draw which is one reason it didn’t really grow very much in the European region. No particular reason and it had a very, very solid Q2 and the Q2 was just flat and SSA was actually down, not because of any detrimental anything, it’s just very products based and they just basically rolled off into the following quarter. It being Africa, it’s not always easy to keep type, type, type. Delay is compatible with a quarterly close, okay? So that’s that. With respect to 2012, it’s a very, very big and very big market, Russia, and it’s not easy to say things that are sensible about it, but let me try. I do think, one, that there is no real – there’s no political question out there. Think what you will of what’s going on in that country, but there is political stability. There has been some measures, however modest, on and around the fiscal side for the exported oil which are helpful. Thirdly, in general, if you poke at what’s going on on the oil side, but particularly in the traditionally large reservoirs, Western Siberia is a primary example. Volga-Urals is not far behind. Timan-Pechora is also not far behind. You have – it’s hard to measure, but you perhaps tens of anecdotes on accelerated decline rates and the clients are very, very preoccupied with the loss of production there for obvious reasons. They have been experimenting with some of the lessons learned in the United States on and around draining the reservoirs with multi-zone hydraulic fracking. We have done extremely well on the completion side and with everything else that comes with it which is of course stimulation. Here I’m very positive about stimulation you’ll notice. Stimulation and coil tubing and so forth have done extremely well developing that market and looking to 2012, we carry the largest backlog that I have ever known in Russia of work on and around that business, which drives all the other sheggings [ph] that we’re experimenting there. So for us 2012 will be, in Russia will be a well behaved market in terms of meters drilled and work over and reentry, simply because of the political side one, two the fiscal stimulus and the need of the client. Underlying all of this is of course the price of bread which is well behaved, that’s clear. But second, in our particular case we carry more and more non-drilling related business on and around completion in that particular market and we do have a backlog of orders there with three clients which are driving the business for us.
Bill Herbert – Simmons & Company: Great, thank you very much.
Operator: Your next question comes from the line of Joe Hill with Tudor, Pickering, Holt.
Joe Hill – Tudor, Pickering, Holt & Company: Good morning or good afternoon as the case may be.
Bernard Duroc-Danner: Good morning. We’re in Houston, it’s morning.
Joe Hill – Tudor, Pickering, Holt & Company: Okay, good deal. North American stimulation, your comments there are perhaps reflective of some of the changes we've seen in the market recently. I was curious as to whether or not you think a downturn looks different this time due to the contracting structure that's developed in the industry since the prior cycle?
Bernard Duroc-Danner: Very good question. I do think that as the number take or pay which speaking in our particular case for the ones that we have, look to me as real contract. Therefore there is a measure I think of hedging there, that’s number one. And the take or pays are often not only for stimulation, again speaking for ourselves, but also cover a broad range of other products and services, making it into an integrated operation, something that never existed in the past. So point taken. That’s the segment of the market, I don’t know what segment it really is because none of our competitors and we wouldn’t do the same thing – we do the same thing also, would release all the information as to how much of it is really take or pay and so forth and so on, but I think it’s a good segment, maybe half. I don’t know. I made that number up. Don’t take it to heart. With respect to what is driving, what may be driving some of the softness, for us there are two factors and we take one actually as more fundamental than the other. First factor is the $3.50 an Mcf gas can’t go on, it’s going to choke. So there will be some volume reductions. I think everyone on this call understands and so that will affect the number of product lines, but also will affect stimulation front and center. Happily there’s activity moving up and will move up further in oil and liquid markets, very much like my comments on Russia. It is presumed there is some level of reasonable behavior on the oil side and so okay, so you have this sort of shift, but for us the real fundamental problem and I don’t know, maybe we’re wrong on this, is just economics. The returns on and around new equipment coming in stimulation are very, very high. Without discussing numbers on the phone here, I would just say that you have cash – full cycle cash returns on new equipment in time periods that you can count them in number of months. Now, when you have that sort of situation, in economics it means pricing is materially higher than long term marginal costs. What does it mean? It means that you have an unlimited incentive for the supply curve to move up, meaning you can put as much equipment on the ground as you can get fabricated, which is essentially, Joe, what’s going on. Forget the larger players that are what they’re doing and they’re doing it with responsibility and intelligence and I’ll count us in that category too. I think you’ve got dozens of new ventures and so forth. If you look around at what’s going on, this is understandable. Well, this sort of situation, however healthy the demand curve is, cannot go on forever. It just cannot. However stout the demand curve is, and I’m talking like an economist I used to be a long time ago, however stout the demand curve is, the supply curve will overwhelm it. This is what needs to be, I think, changed. That in our judgment is more important than the gas versus oil shift.
Joe Hill – Tudor, Pickering, Holt & Company: Okay, that’s very logical. I was curious as to whether the difference between the haves and the have-nots given the new structure was perhaps exaggerated this cycle, but it sounds like it sure might be. Just changing gears really quickly to Mexico, you sound much more upbeat on Mexico, good to hear. Wondering what the role of the production incentive contracts is in kind of your outlook for strength there.
Bernard Duroc-Danner: Everything helps of course, Joe, but first of all it’s easy for me to sound more constructive on Mexico. It’s been like a long dirge for the past two years. So anything sounds more optimistic for Mexico. It is really quite warranted. I think the primary healing in Mexico has been through the passing of time. Mexico had issues that had to deal with its own political constituencies. It did. It took the form of them, curtailing dramatically the amount of cash being spent. Never mind the approved budgets as how much cash they actually spent; it was a fraction of the approved budget. This has been going on for the past two years. This is what broke the back of our former, and I commented on it before, much maligned Chicontepec project. It just ran out of cash. Not in terms of the cash in the bank, in terms of authority. That is now behind them. Now they have to face the same problems as the Russians have, which is accelerating declines. And so I think the prognosis is for a measured, but healthy development in Mexico in all markets, not only in the offshore markets, front and center, Cantarell, KMZ and everything in the Bay of Tampico, item one. In the south, in the other round of play that we refer to as Villahermosa, and of course also in poor Chicontepec which will get some measure of activity increases, all of the above. Brief of fundamentally traditional need production to protect our production rate type reasons and the end of political limitation on the amount of their budget they can spend. They put that behind them. That’s it.
Joe Hill – Tudor, Pickering, Holt & Company: Okay. And then real quickly, just you said something earlier which kind of piqued my curiosity; listing completions are getting some pricing improvement. What's driving the pricing improvement in formation evaluation at this point?
Bernard Duroc-Danner: Well, there are two things. One I think is, I think you’ll find probably the same thing with our peers, directional, horizontal tools, whether MWD/LWD and rotary steerable systems are still in short supply. So that’s getting good pricing. In our case, we also have abundance I suppose by, I would say either we have foresight or maybe we’re lucky, we have a combination of formation evaluation technologies. Probably the one that we talk about the most is the gamma ray Azimuthal – the Azimuthal 3 to Gamma Rays for the ILWD systems where we sort of have unique formation evaluation capabilities which are very popular with shales. That drives it in our case, but in general formation evaluation which covers for us core evaluation, our surface logging LWD in all its form to the one I just referred to, are just I think, in terms of quantity of use, are very popular in North America. Probably the underlying reason is that the clients don’t really understand the geology and geophysics of shales and they won’t for quite some time, even though they are productive.
Joe Hill – Tudor, Pickering, Holt & Company: Okay, I'll turn it over. Thanks a lot.
Operator: Your next question comes from the line of Mike Urban with Deutsche Bank.
Mike Urban – Deutsche Bank: Thanks. Good morning. I wanted to follow up a little bit on your outlook on Russia. Clearly a positive from an activity and even sounds like a mix standpoint. Wanted to get a sense for what pricing is doing. If I'm correct I believe that it's renegotiated once a year should be right around this time. With that better activity outlook, is the pricing outlook firming up as well?
Bernard Duroc-Danner: It is, but I will caution you that getting a higher net pricing – that was one of the questions I was asked, is it gross or net? Getting net price increases out of Russia is harder than getting water out of a stone. So it’s very, very difficult, but it is happening, yes.
Mike Urban – Deutsche Bank: Okay, great. And one of the big issues in MENA seems to have been just some of these old contracts rolling off and not so great pricing and terms. Is that – I realize that's the region where that's the biggest issue. Are there other instances of that in other markets around the world that will help you as you get into the latter part of this year and 2012?
Bernard Duroc-Danner: I think all of us have that issue. In our case, without revealing too much for competitive reasons, it is particularly concentrated in MENA and there are reasons for that, but is it generally an issue? Yes. And your timing is absolutely right. That’s when they all roll off. Not all, but the bulk of them, yes.
Mike Urban – Deutsche Bank: Okay. And then, so you do have that elsewhere though, it's just concentrated in MENA?
Bernard Duroc-Danner: Yes we do.
Mike Urban – Deutsche Bank: Okay, okay. And so as that all kind of rolls together it sounds like you've got this gradual margin progression over the next two or three quarters. It sounds like you could be setting up for a more meaningful step up in the second half of next year as it stands today – obviously things can change. But just wanted to make sure that that is kind of the message that we're hearing or if I'm hearing that correctly?
Bernard Duroc-Danner: Remembering the comments at the end of my – of what I read which is if the economies of the world just muddle through, and muddling through means what it means, are prevailing mediocrity, I think that’s right. If it’s worse than that, I think obviously things will change.
Mike Urban – Deutsche Bank: Right, makes sense. And then last question is, we've talked about most of the other regions around the world. We haven't talked much about the Asia-Pacific region. Is that just kind of status quo and then steady improvement along the (inaudible)?
Bernard Duroc-Danner: No, I’m glad you asked. There are just so many things we couldn’t mention in one call, but Asia Pacific is moving up. Probably the one thing I would point to is expansion of what we’re doing in China, both in terms of the drilling and the production offerings that we have. That’s one, and then second, Australia has been slower to come back than I would have expected. Australia was – Western – that would be Eastern Australia, Queensland and the big unconventional plays there. You will remember they were extremely flooded and not just your normal seasonality, but major, major natural events and they of course recovered from that, but the rate of recovery has been slow. These are minor comments, but I would just point to that. But in general Asia Pacific was well behaved. Probably not as strong as I would have expected primarily because of the fact Australia, which is our largest market, has been slow to rekindle its operations and so forth. But we do have large, large projects on and around the unconventional play which is again – anything that is land and unconventional tends to be one of the things we specialize in.
Mike Urban – Deutsche Bank: Great. That's all for me. Thank you.
Bernard Duroc-Danner: This is going to be our last question because there’s another call after us I’m told. So with your permission, one last call and we’re finished.
Operator: Your final question comes from the line of James West with Barclays Capital.
James West – Barclays Capital: Thanks for sneaking me in here at the end guys.
Bernard Duroc-Danner: I’d like to say we did it on purpose.
James West – Barclays Capital: Bernard, just a couple quick questions and I'll perhaps be more direct than others have been. But on Algeria, just to be clear here, just a clarification. You didn't – you weren't replaced or lost contracts, these are just contracts that have yet to be renewed?
Bernard Duroc-Danner: That’s correct. We may be replaced. I mean this is in the hands of the clients and we’re constantly gaining share and losing share. This happens all the time. But no, no, but all the work over, managed pressure drilling, coil tubing which we’ve been doing for quite some time, simply have fell into the administrative trap. So that is absolutely correct. The reason we haven’t exported them in other markets where they would be needed is simply because the anticipation is that they will return. We kept the equipment and the crews and they’re in Tunisia. Why Tunisia? Because it’s next door and we have a large base so they cannot stay in country. It’s odd as that. I won’t make too much of it because then you get into the details of these particular countries’ politics and so forth, but it is something very unfortunate and hopefully one I will never see again.
James West – Barclays Capital: Understood. Okay. And then MENA margins as we exit 2012. At that point you should be past all the transitional issues that you're facing right now. Any reason why we shouldn't be back to 13% to 15%?
Bernard Duroc-Danner: We’ll be more cautious on this because I think there’s enough good things happening at Weatherford that we don’t need to be over committing on MENA going back to its former ways, which incidentally were much higher margins than what you’re suggesting. So again I’ll let Andy deal with it in all of his modeling work, but I would say that no, he will tell you that no, it will take more than just one quarter to get to it.
James West – Barclays Capital: End of 2012?
Bernard Duroc-Danner: Oh, end of 2012. I’m sorry, I thought you meant 2011. My mistake, James. I think although that’s all sort of a rough view on my part. We have to look at it in more detail, but the answer would be yes, at the end of 2012. I’m sorry. I thought you meant end of this year.
James West – Barclays Capital: Okay, right, okay, good. And then just last one. Andy, tax rates have been bouncing around a little bit, how are you thinking about taxes for 4Q and then for next year?
Andrew Becnel: Current expectation is 30% plus. So I think it might – depending on international performance, incrementally sneak up a little bit and then next year let’s wait until we have finished our budgeting process for next year and the expected allocation or distribution of our operating income.
Bernard Duroc-Danner: It’s entirely a function of where the business originates, James. It’s not (inaudible), well unfortunately we can only know it ex-past. We can estimate it ex-ante, but it’s one of those things we can’t know until the quarter is over.
James West – Barclays Capital: Sure, fair enough. Thanks, guys.
Bernard Duroc-Danner: Which concludes our call so that you can be ready for what is apparently a call scheduled after us. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today’s call. Thank you all for participating and you may now disconnect.